Gerardo Artiach: Good afternoon. Thank you for joining us on Banco Sabadell's Third Quarter 2024 Results Audio Webcast. Please be welcome. As in previous occasions, the presentation will be given by César and Leo. They will cover the main highlights and details of the commercial and financial performance in the third quarter of the year. The presentation will be followed up by a Q&A session. We are aware that it is a very busy day, so we will try to squeeze the whole session in one hour. With no further ado, let me hand it over to César. César the floor is yours.
César González-Bueno: Thank you, Gerardo. Good afternoon everyone and welcome to Sabadell's third quarter 2024 results presentation. Once again Sabadell has delivered a set of excellent results. Let's begin with the key messages on Slide 4. First of all, commercial activity has continued to show positive momentum during the year, despite the typical third quarter seasonality. As a result, performing loans have grown by 2% year-on-year and 3% year-to-date. Secondly, the structure of our balance sheet and our management actions provide for a relatively lower NII sensitivity to interest rates. So, as our NII remained resilient with a slight decline of 0.7% quarter-on-quarter, while NIM slightly increased by four basis points. Thirdly, asset quality metrics continue to improve with a remarkable 3% reduction in NPAs in just one quarter. Coverage has increased by 1 percentage point during this period. This positive trend in asset quality also reflects positively on the total cost of risk, currently stands at 44 basis points, 2 basis points less than the previous quarter. Fourthly, the group net profit reached €1.3 billion in the first nine months of 2024 with TSBs contributing €168 million. Our return on tangible equity considering the last 12 months, and this is important, stands at 13.2%. On the other hand, our common equity Tier 1 fully loaded ratio has reached 13.8% with an increase of 32 basis points over the quarter. As you can see in the bottom of slide, in Q3, we have delivered record quarterly net profit of the history of Bank Sabadell. If we turn to Slide 5, we can talk about volumes. Performing loans decreased by 0.5% quarter-on-quarter, both in euros and at constant FX due to the usual seasonality. On a year-on-year basis, we can see an increase across all geographies, segments, and products. It is remarkable that in Spain, we have also started to see positive year-on-year growth. Indeed lending volumes have increased by 1.8% year-on-year or 1.3% at constant FX. This positive trend is more evident if we look at the year-to-year -- at the year-to-date balances that increased by 3% or 2.2% at constant FX. On balance sheet funds, shown on the right-hand side of the slide, remained broadly stable in the quarter whereas off-balance sheet funds increased by 2.8%, driven by positive net inflows and by the mark-to-market effect on mutual funds. All-in-all, total customer funds increased by 0.7% in the quarter. Similar to performing loans, these positive quarterly trends become even more pronounced and obvious if we look at the year-on-year comparison as well as the year-to-date evolution. If you go to Slide 6, lending origination in Spain. The mortgage origination in Q3 increased by 8% quarter-on-quarter and 82% in a year-on-year basis. In the first nine months of 2024, it increased by 34% compared with 2023. On top of this, we continue to grow in a healthy way. New mortgages risk-adjusted return on capital RaRoC remains stable in the quarter and both loan to value and affordability remained at low levels. New consumer loans continued to perform well, growing by 18% on a year-on-year basis and by 3% quarter-on-quarter. In the first nine months of 2024, it increased by 17% compared with 2023. Moreover, the 91% of the origination comes from the preapproved loans to targeted customers. Regarding business banking, loan origination and new credit facilities decreased by 43% quarter-on-quarter, impacted by typical seasonality, while on a year-on-year basis, they increased of course by 6%. In the first nine months of 2024, they increased by 26% compared with 2023. Finally, on the lower right-hand side of the slide, working capital financing posted a slight decrease both quarter-on-quarter and year-on-year. As we explained in the previous quarter, we are observing stabilization here after posting relevant increases during 2022 and the first half of 2023. All-in-all, positive trend in commercial activity in Spain continues despite quarter seasonality. In Slide 7, we see the payment-related services continue to perform remarkably well, both in cards and retailer payment services. Card turnover increased by 7%, while point-of-sale turnover increased by 8% year-on-year. In the first nine months of 2024, they increased by 7% and 9% respectively compared with 2023. These figures reflect solid growth in both cases. In the bottom half of the slide, we can see the evolution of customer funds in savings and investment products in Spain, which reached a total of €63.2 billion in September 2024. This represents an increase of €2.6 billion in the quarter, driven by €1.5 billion increase in term deposits and €1.2 billion increase in off-balance sheet products. On Slide 8, performing stock -- performing loan book ex-TSB and we broke it here down by segment. Starting with Spain on the left-hand side. Performing loans remained broadly flattish quarter-on-quarter despite typical Q3 seasonality. However, the year-on-year comparison shows signs of acceleration with growth of 1.1%. Growth is even more evident on a year-to-date basis, where loans grew by 2.4%. The volumes of mortgages and consumer lending grew in the quarter, supported by the strong levels of the new lending that we just saw a few minutes ago. Year-on-year, the mortgage book is now growing after almost two years of deleveraging, while the consumer loan book keeps growing at a similar pace to previous quarters, rising by 17% year-on-year. The SME and corporate loan book shrank slightly in the quarter due to the usual seasonality. However, the year-on-year variation is already positive too. On the right-hand side of the slide, our international business loan book declined by -- in the quarter by 3.7%, explained by weaker lending activity in Mexico, exacerbated by the volatility of the Mexican peso. Considering constant FX, the evolution of the quarter would have been flattish at 0.5%. Nevertheless, the year-on-year comparison shows positive growth in our international businesses. This is mainly driven by foreign branches where we launched the plan to grow by focusing on customers with higher RaRoC and improved -- improving the share of wallet in our customer base. Moving on to the UK business in Slide 9. This quarter, as anticipated by the lower level of applications in Q2, new mortgage lending declined which caused the stock to slightly shrink by 0.7% quarter-on-quarter. However, mortgage applications increased by 16% quarter-on-quarter with September posting the strongest growth since May '22. This suggests that the new mortgage lending has followed a positive trend in Q4. On the other hand, new lending grew by 24% year-on-year and we believe that we could see a flat or even positive mortgage book by year-end. On the liability side, customer funds continued to slowly flow from current accounts to savings accounts. As a result, the cost of deposits closed at 1.59%, seven basis points above last quarter's cost. This is a similar pace of growth to the previous quarter. It is worth mentioning that the remuneration on €10 billion worth of savings which is almost half of the savings book had been reduced by 10 basis points at the end of September. This will impact positively from next quarter onwards. On Slide 10, TSB has achieved a net profit of £59 million in the quarter which translates into £138 million in the year. That brings its contribution to Sabadell to €168 million, up by 4% year-on-year. Over the quarter, NII grew by 3.5% as expected, supported by structural hedge income as this instrument is replacing with a substantial spread given the difference between current interest rates and its average yield. Fees are up quarter-on-quarter having been negatively affected by a one-off in Q2 related to cards. Total recurring costs decreased by 6.7% in the quarter. Recurring costs have been benefited -- have benefited from savings delivered by the efficiency plan announced last year and executed in Q2 '24 along with a £10 million partner rebate. On the other hand, there are nonrecurring costs related to a new efficiency and plan launch -- new efficiency plan launched this year. I will go over this new plan in a minute. Provisions increased in the quarter to a more normalized run rate. In terms of solvency, TSB has achieved a fully loaded core Tier one ratio of 16.6%. Return on tangible equity stands at 8.1%, adjusted to a 14% benchmark core Tier one ratio of our UK peers that would be equivalent to 9.6%. As we mentioned in previous presentations, 2024 is a transition year for TSB. TSB is progressing as expected and we are feeling more positive about its financial performance over the next two years as we explained in the next slide. Here we present the main levers for TSB to improve the profitability in 2025. Beginning with NII, the structural hedge will contribute an additional £100 million in 2025 and an even higher amount in 2026. This supporting factor along with a positive evolution of volumes should result in an NII recording a compounded annual growth rate in the high single digits in 2025 and 2026. Regarding costs, we have recorded £27 million of restructuring charges over the first nine months. On top of the savings from the efficiency plan announced last year and fully executed in Q2. TSB will benefit from an additional £27 million in savings, 100% of which are due to materialize in 2025 onwards with the payback period of roughly one year. Therefore, taking into account both of the efficiency measures in place we should see total costs continue to decline by 3% in 2024 and by a further 3% in 2025, delivering savings two percentage points higher than initially guided. In terms of provisions, cost of risk will remain stable at around 20 basis points. All-in-all, we see TSB's return on tangible equity returning to double-digit figures in 2025 and beyond. Slide 12. Coming back to the group's standpoint, I would like to briefly summarize our good financial performance. Leo will explain in more detail later on. We recorded our highest quarterly net profit ever with more than €500 million. In the first nine months of the year, net profit reached €1.3 billion, a level close to full year 2023 net profit. These results entail a return on tangible equity of 13.2% if we look at the four quarters in arrears. Our core results, which include NII plus fees minus recurring costs dropped slightly by 3% in the quarter, driven down by lower NII stable fees and cost inflation. Provisions decreased once again in the quarter underpinned by resilient asset quality. In terms of solvency, our capital ratio stands at 13.8%, which implies a solid increase of 32 basis points quarter-on-quarter. With this, let me hand over to Leo with my warm hand. Thank you for the last four years who will cover the financials of the bank in more detail.
Leopoldo Alvear: Thank you, César, and good morning everyone. Let's start by taking a look at our financial results. We have had another quarter of positive results, although we'll go over in the most relevant details line by line in the next few minutes. First, I'd like to bring your attention to just a few items. Core banking revenue was almost flat in the quarter with fees partially offsetting NII performance. In the other income expenses line, I would like to point out that this quarter we had recorded extraordinary revenues of €30 million net. And this is a combination of two one-off items as shown in the bottom of the slide. Recurring costs rose by 2.7% Q-on-Q, driving the year-on-year increase to 2.5%, perfectly in line with our guidance for the year. As we will analyze in detail as the quality continues to improve and this quarter, we once again recorded a reduction in provisions and impairments. All these lines have driven net profit in Q3 2024 to €503 million, representing a quarterly increase of 4% and a record quarterly benefit for the bank. If we have this figure to the results for the first half of the year, net profit for the first nine months comes to €1,295 million over 25% higher than last year's figure and almost the same amount as total net profit for 2023 as César just mentioned. This net profit represents a return on tangible of 13.2% considering the last 12 months. And now let's go through the different P&L items in more detail. Starting with NII on slide 15. Group NII was down 0.7% in the quarter as Euribor repricing is starting to be reflected in the customer margin. Despite this NII still showed a 6.7% increase year-on-year, which makes us very confident that we will meet our mid-single-digit growth target for the year. Also and this is very important, you can see the role that TSB plays in offsetting part of the pressure on the remaining component of NII since its NII is already growing, 3.5% this quarter. Let us now look at the top right-hand side to see the drivers that explain the quarterly evolution of the net interest income. So moving as always from left to right, customer NII contributed €3 million within it and we can see that customer margin decreased by €22 million, which is mainly explained by lower loan yield but quarterly average volumes had a very positive impact in the quarter, adding a contribution of €30 million. The FX effect was marginally negative and deducted €5 million due to the depreciation of the Mexican peso and the US dollar. Moving along to the right capital markets. Shown here is ALCO portfolio, excess liquidity and wholesale funding produced a combined net effect of minus €13 million. Within this there is a combination of lower excess liquidity along with lower benchmark rates. As you can see on the bottom left part side of the slide, our customer margin decreased by seven basis points in the quarter to 3.11%. And this is due to the repricing of the floating rate portion of our portfolio, as the cost of deposits remained almost stable, increasing by just one basis point in the quarter. In terms of NIM, we closed the third quarter at 206%. This is four basis points below last quarter. Moving now to the next slide, allow me to explain why we believe Sabadell's NII will be more resilient than other peers going forward. As usual, we have split NII into three different blocks. Firstly, customer margin excluding TSB; secondly, the contribution coming from capital markets that's to say ALCO plus excess liquidity minus wholesale funding costs and thirdly, TSB's NII contribution. Starting by the first one Sabadell's ex-TSB customer margin is the most important part of the group. It accounts for 70%. And I would like to share two ideas here. On the one hand, we believe that the weight of fixed rate exposures within advances 60% of the loan book should make us less sensitive to interest rates. As you can see in the table of the cycle of interest rate hikes, this is since the end of 2021, our customer margin has only increased by 1.6x whereas our peers have recorded a twofold increase in the customer margin. We believe that these facts which weighed somehow on upward movements should offer also some protection when we're pricing downwards. On the other hand, we've seen that this lower interest rate environment is supporting demand for credit and we've seen loan growth once again. In fact, our loan book excluding TSB has grown by 2.5% year-to-date and this growth should provide further support for this block of the NII. Let's now look at the second bucket, the non-customer NII excluding TSB. This is the bucket through which we are reducing our NII sensitivity by managing the variable interest rate exposure of both the ALCO portfolio and the wholesale funding. As you can see, since the last quarter of 2021, we have reduced our NII sensitivity for 100 basis points decline in the interest rate curves for currencies and levels by -- from 6.7% to our current level of 2.9% for the first year. And finally, the third block refers to TSB whose contribution represents no less than 25% of the group's NII. The structural hedge is already expected to contribute an additional £100 million next year. And very importantly it shall contribute even higher, even higher delta in 2026 and its contribution will continue well into 2027 and even 2028. This improvement in 2025 represents more than 2 percentage points of the total group's NII, providing a phenomenal offset to the lower rates to be faced by the rest of the buckets. In conclusion, we are combining these three blocks. We believe that NII will be resilient going forward in this new interest rate cycle. Now leaving the NII line to one side and moving on to fees, this remained broadly stable in the quarter posting an increase of 0.2% Q-on-Q. This is mainly attributable to the improved performance of service fees, supported by fees related to cards which saw higher levels of turnover during the summer season. In terms of the year-on-year variation, the evolution is partially explained by lower revenues from service fees related to site deposit accounts. Considering all this, we are confirming that we are on track to meet our guidance of circa 3% decline in fees for the year 2024. Now leaving the revenue lines to one line and -- to one side and moving on to costs on Slide 18. This quarter total cost increased by 2.7%. In year-on-year terms costs increased by 2.5% in line with our guidance for the year. This quarter, our expenses in Spain have been impacted by a €14 million one-off which is offset by another positive one-off at TSB. Moreover, in TSB our account costs have decreased as it is the first quarter in which savings from the previous efficiency plan have fully accrued. As César pointed out, it is important to take note that the extraordinary expenses incurred at TSB during the quarter amounted €40 million which along with the €6 million spent in Q2 will allow us to reduce total cost of TSB by 3% next year. This is in 2025. With all this context, we are confirming again our guidance of circa 2.5% growth versus 2023 for the recurring cost of 2024. In the next slide, we cover the bottom line of the P&L, basically cost of risk and the other P&L items between pre-provision income and profit before taxes. The group's total cost of risk improved in the quarter to stand at 44 basis points, which is better than the guidance that we gave last quarter, a sign of the strength of our asset quality. Credit cost of risk stood at 31 basis points at the end of September, decreasing by 12 basis points versus 2023 levels. This reduction is a perfect testimony of the solid asset quality with which we are operating. Now looking in more detail at the breakdown of total provisions on the top right-hand side. From left to right, we can see that first we booked €121 million of loan loss provisions in the quarter, according to the 31 basis points credit cost of risk that I just mentioned. Next, the capital gains made on the sale of our real estate owned assets offset the provisions required for our foreclosed assets, as you will see in a couple of slides despite provisions in these line showing a net figure of zero we actually increased the coverage of our foreclosed assets. We also had €35 million of NPA management costs similar figure to the one of previous quarters that can be considered probably the run rate. And finally, other provisions, which mainly relate to litigations stood at €16 million. All in all, total cost of risk continues to perform well bolstered by declining NPA levels and robust asset quality. Consequently, we have improved our total cost of risk guidance for the third time this year to around 45 basis points for both 2024 and 2025. Moving on to the next section. Now, we'll walk you through asset quality, liquidity and solvency. Let's start with the evolution of non-performing loans on slide 21. The group's non-performing loans saw a decline of nearly 3% in the quarter bringing the NPL ratio down to 3.1% despite typical Q3 seasonality factors in terms of lower levels of debt recoveries. In parallel to the reduction of NPLs the amount of total provisions compared to Stage 3 loans increased. Again, by one percentage point standing at 61%. This is one percentage point increase versus the total provisions that we recorded in Q2. On a year-on-year basis the stock of NPLs has decreased by 10%, confirming that asset quality remains resilient even better than initially projected in our budgets. Looking at exposures by stages and their coverage on the right-hand side our Stage 2 exposure as a percentage of total loan book dropped by 60 basis points year-on-year reflecting a reduction north of 150 -- sorry €850 million. This evolution is mostly explained by migrations to Stage 1, which confirms again robust levels of asset quality. Stage 3 loans on the other hand have decreased by more than €600 million in the year. And this reduction is driven by the combination of a lower level of gross NPL inflows and an improved level of debt recoveries year-to-year -- year-to-date. Moving on in terms of foreclosed assets. The stock has declined by €31 million in the quarter, or by 16% year-on-year to levels already below €900 million. The coverage ratio for this portfolio increased by 1% to 40%. It is worth mentioning that 34% of the stock has been sold during the last 12 months, with an average premium of 7%, which shows that these assets are correctly mark-to-market on our balance sheet. Moreover taking into account that 94% of these assets are finished buildings, which makes them more easily marketable and allows us to maintain the rotation levels that you have been seeing. Overall, total NPAs which include both NPLs and foreclosed assets are down by 11% year-on-year. Gross and net NPA ratios stand at 3.6%, and 1.5%, respectively improving both in the quarter, and also in the year. On the next slide, allow me to summarize the latest development in terms of asset quality. Firstly, the NPL ratio has been steadily reduced by 38 basis points over the last seven quarters to the current level of 3.1%. Secondly, coverage of Stage 3 loans is at 61%, and has gone up by more than 6 percentage points during this period ensuring robust protection of nonperforming loans. And thirdly, cost of risk has been continuing coming down quarter after quarter accumulating a reduction of 13 basis points. In other words in the last seven quarters, we have seen a positive evolution across all asset quality metrics, which proves that asset quality remains resilient supported in particular by an enhanced risk management process. This solid delivery quarter-after-quarter reinforces our improved guidance for total cost of risk to around 45 basis points for this year and the following as I just explained. Moving on to liquidity on the following slide. The group position improved further in the quarter and remains at very comfortable levels. This is reflected by the €46 billion of high-quality liquid assets, which increased by €2 billion during the quarter. Also, by the LCR, which stood at 209% for the group remaining at very sound levels and actually 4 percentage points higher than in Q2. The loan-to-depo ended the quarter at 95% marginally better than the previous quarter. On the right-hand side, we can see the credit ratings. And I would like to remind you that, over the last three years the bank has benefited from four notch uplifts and two outlook upgrades to positive from the agencies that cover us. Most recently, Moody's which upgraded their outlook to positive in their last review. Turning now to slide 25. We can see our current MREL position. We are confident in the meeting MREL requirements in terms of both risk-weighted assets and leverage ratio exposure. Moreover, we are compliant with both the absolute and subordinated requirements. And we have built a management buffer that is well above those requirements. It is important to note that, we have issued a total of more than €5 billion year-to-date across the capital structure as well as through liquidity instruments namely cover bonds. I would also like to mention that in September, we successfully issued an inaugural senior preferred deal in pounds sterling, which is eligible for MREL purposes. All in all, in terms of 2024 funding plan, we have no need for any new issuances to be made. We may nonetheless consider opportunities -- opportunistic issuances in the senior, or senior non-preferred space, if the circumstances are right. And finally in the next slide, we can see that we continue to generate capital organically, while accruing a 60% payout ratio. Our fully loaded CET1 ratio stands at 13.8% having increased by 32 basis points in the quarter. When we look at the quarter's evolution in more detail, we see an increase of 26 basis points derived from organic capital generation, mainly attributable to retained earnings after AT1 coupon payments. There is also an increase of 10 basis points stemming from the positive fair value reserve adjustments, and finally an impact of minus four basis points from RWAs, which is mainly due to the business mix. This quarter the performing loan book remained stable when excluding the social security advance payments, which don't consume capital. And lastly, looking at contact FX, we have grown in businesses with a relatively higher density such as Miami and other foreign branches while deleveraging in the UK, which is mainly mortgages. From a regulatory perspective, the CET1 ratio stands at 13.8% on a phase-in basis also with an MDA buffer of 485 basis points. This level of CET1 is 0.6 percentage points above the threshold for excess capital distribution, considering our expected Basel IV impact. Finally in terms of shareholder value creation, tangible book value per share increased by 13% year-on-year, including the distribution of €0.14 through dividends paid to shareholders in the last 12 months, as well as the €0.02 impact of the executed part of the share buyback from 2023 earnings. And with this I hand over to César who will conclude our presentation today.
César González-Bueno: Thank you, Leo. To end this presentation I would like to recap on our guidance for 2024 in slide 28. NII grew in the first nine months of the year by close to 7% year-on-year. Therefore, we believe that we will meet our NII growth target of mid-single-digit growth having improved it twice already this year. Fees decreased by 3.6% on an annual basis as anticipated. This is in line with our guidance of around 3% decline for the year. We reported a total recurring cost increase of 2.5%, which is completely in line with our year-end target. Total cost of risk reached 44 basis points this quarter. Therefore, given the supportive asset quality trend, we have improved again our guidance. We expect a total cost of risk of around 45 basis points. This confirms that we will perform better than we did last year. Adding the different P&L lines together, our return on tangible equity rises to 13.2% this quarter. This is already in line with our year-end target of above 13%. This allows us to confirm our alignment with the Board of Directors' commitment to deliver €2.9 billion in total shareholder remuneration over 2024 and 2025. On this topic, we will provide more details as well as information regarding the timing, amount, structure during our full year results presentation. To end with a small look ahead into next year, we see return on tangible equity also rising above 13% in 2025, which would imply a net profit of around €1.6 billion. With this, let me hand over to Gerardo to kick off the Q&A session.
Gerardo Artiach: Thank you, César. We will now begin the Q&A session. [Operator Instructions] Operator, could you please open the line for the first question?
Operator: First question is coming from Maksym Mishyn from JB Capital. Please go ahead.
Maksym Mishyn: Hell, good morning. Thank you very much for the presentation and taking our questions, and first of all, good luck to Leo in the new endeavors. I have three questions. The first one is on your mortgage production it has been impressive in the third quarter. Could you please explain what was the reason are you being more competitive on spreads? And do you plan to continue gaining market share there? Then the second question is on the special tax. I was wondering if you have included any provisions related to the revision of the special tax. And what is your view on the proposed changes. And then the last one just a confirmation what was the reason for a bump in personnel expenses in Spain in the third quarter 2024? Thank you.
César González-Bueno: Thank you very much for your questions. The mortgage production in reality and I agree and thank you for the comment. It's impressive. And it has been done on the back of an improvement of the conversion rates through much better processes and through a continued increase in the pricing structure. The volume of the mortgages that we are acquiring is larger and we are discriminating much more in terms of cost of risk. As a matter of fact the RaRoC of the new production stands close to 20% at around 19%, which is extremely positive. And furthermore if we look at the average LTV, it's below 67%. The affordability rates below 28%, 86% are fixed rate and we are observing and this is very important next to a 20% reduction in the new production in the probabilities of default. So it's basically managing much better linking the side products that are linked to the mortgage in a better way, better pricing, and much better conversion. And because of this and as we anticipated and because of the growth of the market, we are not only growing handsomely, but also gaining a little bit of market share, which was our purpose as we commented at the end of the year. In terms of -- I leave the second and third to Leo with the exception of the opinion on the new tax, I think we have expressed our opinion multiple times. It's a very slight improvement. So, again, many of the comments about how we view the taxes remain and the impact that it's going to have on our numbers is marginally lower and that's all that we can say up to now pending the final confirmation of how this finally ends with the information that we have.
Leopoldo Alvear: So, well, thank you very much Maksym for your kind words. Yes, the banking tax is included in our forecast for 2025 and we have not changed the calculation from last year. So, -- because this is too recent and it's not final. If it finally comes into place, it could be slightly better than what we have budgeted so lower. And as per the second question in personnel expenses in Spain, yes, that's true, we have booked around €14 million of one-off if you wish. And this basically refers to topics. On the one hand is we have updated our assumptions regarding the collective bargaining agreement that has finally been closed. And also we have updated the impact in personnel costs of being well ahead of our budget. But again, as I said, this is a one-off and we should not see it in fourth quarter, but it's true that we have another one-off in TSB, positive one-offs so lower expenses. So, all-in-all, if you wish the overall number for costs should be recurrent.
Maksym Mishyn: Thank you.
Gerardo Artiach: Thank you, Maksym. Operator, let's please give access to the next caller.
Operator: Next question is coming from Pablo de la Torre from RBC Capital Markets. [Operator Instructions]
Pablo de la Torre: Hi and thanks for taking my question. I had two. First a clarification on Slide 7. You showed there an uptick in migration into term deposits in Spain in the quarter, but the cost of deposits excluding TSB was down in the quarter. So, I guess would you expect there to be a lag effect on the cost of deposits in Spain with increases in coming quarters related to this? And maybe more broadly on the topic, any comments on the path of migration and deposit costs in Spain I guess would be appreciated. And then secondly moving to the U.K. We're seeing their NII steadily grow. Now, for a few quarters despite cost of deposits increasing maybe more some -- maybe more than your U.K. peers. You have reiterated your NII guidance for this year -- for next year in 2026. And thanks for the disclosure on the structural hedge but could you maybe update us with the current notional size of the hedge and your expectations for its size and evolution over the coming quarters? And maybe any other color on the tailwinds and headwinds you see to NIM in the U.K.? Thank you.
Leopoldo Alvear: Good morning Pablo. So, basically on the deposit question, yes, we are still seeing some migration from site to term. And basically what we've seen is a growth in terms. So, most of the inflows that we're getting from the market are in terms of term deposits or remunerated deposits. Despite this, we are controlling the cost of deposits and we don't envisage an increase in the cost of deposits in the coming quarters. Moreover what we think is that we shall see decrease in that line. And that would be impacted. The speed of that decrease will be impacted on the one hand by how fast we are able to reprice our current remunerated deposits and by the new inflows. For the new inflows, we're paying. So, that will be an increase if you wish, but we are also adjusting pretty fast the cost of our remunerating deposits. Actually a third of them are completely floating. So, they adjust immediately. Another third is managed by our managers and the other third is basically the same in term deposits for different periods up to 12 months. So, no, we are quite comfortable with the idea that the cost of deposits should remain very resilient and coming down in the coming quarters. As per your question relating to TSB, basically the structural hedge that we currently have is around £20 million £21 billion and we expect this hedge to remain relatively flattish within the coming years because we're not seeing any further migration from the one that we saw last year from PCAs to term deposits. So, the amount of deposits which are not linked to rates, which is the purpose of the coverage of the structural hedge, is quite resilient. And therefore the overall hedge should remain quite stable in the coming years. And that is why we are very positive on the evolution of the delta, the new contribution coming from the structural hedge because each year, we will be basically repricing around £4 billion, while -- the back book of those £4 billion would be very similar to zero and the front book of those £4 billion will be basically the five-year swap. And that's how we get to the £100 million for 2025 and even more in 2026 and more in 2027.
Gerardo Artiach: Thank you, Pablo for your questions. Operator, let’s please move on to next question.
Operator: Next question is coming from Carlos Peixoto from CaixaBank. [Operator Instructions]
Carlos Peixoto: Hi, good morning. Can you hear me?
Leopoldo Alvear: Yes we do.
Carlos Peixoto: Okay. Perfect. So first question from my side would actually be still on the outlook for NII in the fourth Q. You reiterated the mid-single-digit guidance for the full year. That does entail a bit of a sharper drop in NII in the fourth quarter than in the third Q. I was just wondering if you do see that as being the case. And related with that, I noticed there was a pickup in overall deposit costs in – at TSB quarter-on-quarter. Just wondering what is behind that and how do you see that evolving over the coming quarters? And then the second question would be regarding shareholder remuneration. I see in that slide where you have the outlook. I think it's Slide 28. You mentioned details timing and structure, a full year 2024 results you're just alluding to the split of €2.9 billion between dividends and share buybacks and so on? Or are you also here seeing scope to review this figure at full year potentially to a higher number? Thank you very much.
Leopoldo Alvear: I'll take the first one. So on the outlook for NII in Q4, yes, NII in Q4, it's going to be slightly down. And that's because we are repricing loans with the new rates. And among other things for example, the structural hedge is not kicking in. So we believe that NII will grow in Q1 but it will come down in Q4. Nevertheless, we are very comfortable with our guidance of mid-single-digit growth for 2024 and perhaps we can do a little bit better than that. As per the cost of deposits in TSB, what we have is basically the cost of deposits is still increasing this quarter basically because of the mix. So the price for deposits have – has remained constant since September 2023. And as a matter of fact, we have reduced the cost of that deposit at the end of September 2024. But obviously, we cannot see that in the quarter yet. But we hope to see that in coming quarters. And we believe that the deposits will be – the cost of deposits will be reduced as the rates are reduced as we did in this last September. So going further down the line, what we expect is that certainly we shall see some kind of reduction in the cost of deposits in TSB.
César González-Bueno: In terms of the shareholder remuneration I think that – let me make a little bit of background. We first when we refused the offer from BBVA back in April, the Board declared that it was €2.4 billion and that was on the basis of the budget that we had at that time. And then last quarter we updated that with another additional €500 million to €150 million coming from the share buyback that we had not been able to distribute. So it was quite automatic and another one also quite automatic because our anticipation of the cost of Basel IV had been substantially reduced by €250 million. So €250 million plus €250 million plus €500 million plus €2.4 billion equals €2.9 billion. Now is this the final number? We have to wait as we do every year to decide on what is exactly the structure amount and also the amount. Your question is – is there a potential to review the amount? The answer is yes, there is potential to review the amount because the €2.9 billion is a floor. And therefore, we wanted to wait for another quarter now after giving two upgrades in the last two previous quarters, we wanted to wait for another quarter because there's a lot of volatility in the market. So with this floor of €2.9 billion and with the final closing of the books at the end of the year, at the beginning of next year when we do the Q4 results, we will anticipate what will be the proposal in front of the shareholders assembly in order of the amount and distribution of the total returns. Let me reiterate in any case that this €2.9 billion is close to 30% of the market cap in a period of 18 months. So it's quite handsome.
Gerardo Artiach: Thank you, César and thank you Carlos for the questions. Operator, let’s please move on to the next call.
Operator: Next question is coming from Britta Schmidt from Autonomous. [Operator Instructions]
Britta Schmidt: Yes. Sorry, operator. I wasn’t quick enough, sorry. Thanks for taking my questions. I've got a couple of questions on the UK, please. When you point to the more savings or a two percentage point improvement in the drop in the cost for 2024, where do these savings come from what measures are you taking, and does that include any impact of the UK budget for example on the national insurance change? Or what is your outlook there for the future, whether it applies this could change the cost outlook? And then just to confirm the one of the insurance recovery that you booked is that the last part of the insurance recoveries you had? Or are there still any to be booked in the future? Thank you.
Leopoldo Alvear: Good morning, Britta. So starting with the second one which is the easiest. Yes, it's the last one of the insurance policies that we are pending. This is all related to the migration that took place back in whatever 2017, 2018. And we agreed with the insurance partners this quarter and that's why we booked it. We also managed to use these extraordinary income, if you wish to match it against two extraordinary costs, if you wish. On the one hand, it's the final fine on collections and recoveries which we got it was £10.7 million and this is basically hopefully the last fine that we were also expecting. And this with the total £27 million in nine months or £20 million this quarter for restructuring costs at TSB, a similar thing that what we did last year when we used extraordinary income to do extraordinary restructuring costs. As per these, we expect a payback of one year. So basically, we should see the full £27 million of costs cut next year. And then taking into account not only this, but also the inflation and other moving parts of the cost base, it's what leads us to guide to the minus 3% on net costs as a variation from 2025 to 2023. And as per the -- what's within the restructuring costs? Well, basically, it's taking into account the view on the strategy of digital first within TSB which could affect some branches. A lot of the reduction in FTEs are supported by automation and organizational design optimization and also, we are trying to target further benefits across third-party expenditures.
César González-Bueno: If I may take -- I mean that's spot on. But just if I take a broad backwards view on TSB and how we looked at it strategically and why we are so confident about the future. So the €57 million -- sorry €53 million that we took -- that we recorded for further cost savings, together with the €27 million that has just been described, provide a cumulative reduction of 3% in 2024 versus 2023 and another 3% in 2025 versus 2024 that's on the cost side with a lot of measures of restructuring that are being executed in a very effective way by our UK team. And this together with the Caterpillar with a flat volumes in the short term or even increasing marginally gives us this potential of double-digit return on tangible equity for the years to come, which is very positive and it's a little bit countercyclical in terms of NII with what we are seeing in Spain basically. So I think we've done our duty of addressing the major element which is the cost to income deficit that TSB has structurally had with this minus three and minus three cumulative cost reductions.
Gerardo Artiach: Thank you, González-Bueno. Thank you, Britta for the questions. Operator lets move on to the next question.
Operator: Next question is coming from Borja Ramirez from Citi. Please go ahead.
Borja Ramirez : Hello. Good afternoon. Thank you for taking the questions. I have two. The first is on the cost of deposits outlook. I would like to ask if you could please give the percentage of term deposits that will mature in the coming quarters? And also the delta between the front book and the back book rate on the term deposits. That would be my first question. And then my second question would be on capital optimization. There was an article some weeks ago indicating that you could potentially issue an SRT of around €1 billion linked to corporate loans in Miami. I would like to ask what are your plans for capital optimization and SRT going forward? Thank you.
Leopoldo Alvear: Sure. Good morning, Borja. So on the deposit front as I mentioned today -- sorry just before basically about 1/3 of our deposits are floating, so they will renew and they will reprice as rates move. Another 1/3 is basically managed from our management accounts and then there's 1/3 which is basically term deposits up to 12 months. 40% of the cost is basically within three buckets: which is public sector institutional customers and private banking. And all these three sectors have very high betas. So basically, they are very much linked to rates and therefore, they should reprice quite well just with the rates if you wish. And then as per the third part, which is the term deposits, if you wish no, I don't know 40% are three months, around 40% are three months, six months is around another 15% and nine months is around 22% if you wish. So it should reprice relatively fast, if you wish. And as per the SRT, well this is something that we're doing all the time. That one got to the news that we're doing securitizations -- we've been doing securitizations in the last few years. So, it's a normal part of our capital strategy if you wish. So yes, we have a deal which is on the market right now and we hope to close it before year-end and next year, we'll have some more. It's important in my opinion to have this possibility always open for the market where there is quite a lot of demand.
Operator: Last question is coming from Sofie Peterzens from JPMorgan. Please go ahead by pressing star six.
Sofie Peterzens: Hi. This is Sofie from JPMorgan. Thanks for taking my question. With the second quarter presentation you guided that net interest income on a group level in 2025 will be higher than in 2024. I was wondering, I can't see that in the third quarter presentation, but could you confirm that this still holds for the group. And then my second question would be, could you just remind us, what the capital headwinds and tailwinds are going to be over the next year or so? Thank you.
César González-Bueno: I think, Leo will complete on this one. But I think the environment has changed significantly since the last three months. And the reference rates have dropped materially since July and they are still under a lot of volatility. And therefore in order to give the new guidance, we see -- we want to wait to see where they land and we will give you specific guidance in January as we always do. Now, having said that, we believe that the combination of our lower sensitivity in the customer loan book, which as Leo mentioned before is 60% fixed, plus our management actions to continue reducing the sensitivity in all capital market exposures and has also been very well described the contribution from the structural hedge which on itself represents 2% of the group NII, this should make us more resilient in this new environment. Will it grow? It's difficult to say in full honesty at this point in time. What we don't see is a lot of volatility versus the current situation. And furthermore, we see that the volumes growing in this lower rate environment. And this could also be a very supportive level. So, in reality, NII will be dependent on volumes and on the speed and final lending point of the interest reduction. But our best guess, I would say at this point in time and is that overall, there shouldn't be major variations to the NII that we are seeing this year. But I insist, I think we will give full details as we close the year and we communicate in January end of January.
Leopoldo Alvear: Sure. And as for the second question, no, we don't have any capital headlines -- sorry headwinds aside from the one of Basel IV which we have discussed before. And it's not very material. So we are not expecting anything material on that front.
Sofie Peterzens: Thank you.
Gerardo Artiach: Thank you, Sofie. And with that I mean we have behaved ourselves extremely well. We are right at the hour of webcast. So if there are no further questions, thank you all for your participation. Thank you, César and Leo for the answers. We now wrap up the session. As always, the full IR team is available for any further questions that you could have. Thank you all for your participation and for joining us today.
César González-Bueno: Thank you.
Leopoldo Alvear: Thank you very much.